Operator: Good morning and welcome to Novavax Fourth Quarter 2024 Financial Results and Operational Highlights Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference call over to Luis Sanay, Vice President, Investor Relations. Please go ahead.
Luis Sanay: Good morning and thank you all for joining us today to discuss our fourth quarter and full year 2024 financial results. A press release announcing our results is currently available on our website at novavax.com and an audio archive of this conference call will be available on our website later today. Please turn to Slide 2. Before we begin with prepared remarks, I need to remind you that, this presentation includes forward-looking statements, including, but not limited to, statements related to Novavax's corporate strategy and operating plans, its strategic priorities, its partnerships and expectations with respect to potential royalties, milestones and cost reimbursements, its expectations regarding manufacturing capacity, timing, production and delivery for its COVID-19 vaccine, the development of Novavax's clinical and preclinical product candidates, full year 2024 financial guidance and revenue framework and Novavax's future financial or business performance. Each forward-looking statement contained in this presentation is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears under the heading Cautionary Note regarding forward-looking statements in the presentation we issued this morning and under the heading Risk Factors in our most recent Form 10-K and subsequent Form 10-Qs, filed with the Securities and Exchange Commission available at sec.gov and on our website novavax.com. The forward-looking statements in this presentation speak only as of the original date of this presentation and we undertake no obligation to update or revise any of these statements. Please turn to Slide 3. This presentation also includes references to a non-GAAP financial measure, which is forward-looking information for adjusted licensing, royalties and other revenue. Please turn to Slide 4. Joining me today is John Jacobs, our President and CEO, who will provide an update on our progress during the quarter and highlight our growth strategy. Additionally Dr. Ruxandra Draghia, Head of R&D, will discuss our R&D strategy and clinical development. John Trizzino, our President and Chief Operating Officer who will provide an update on our Sanofi partnership and finally Jim Kelly, Chief Financial Officer and Treasurer who will provide an overview of our financial results and 2025 financial guidance and revenue framework. I would now like to hand over the call to John Jacobs.
John Jacobs: Thank you, Luis. I'm pleased to be here with you today, along with members of our executive team to discuss our financial results and highlight our progress on our corporate growth strategy. 2024 was a year of significant accomplishments for Novavax. We developed and embarked upon a new and ambitious corporate growth strategy, which is designed to maximize the impact of our cutting-edge technology through R&D innovation, the expansion of our organic portfolio and through building new and diversified partnerships with other companies via the out-licensing of our tech platform and vaccine assets. Consistent with that new strategy, we announced our wide-ranging partnership agreement with Sanofi, which I will discuss in a few moments. And made important additional progress on our portfolio and in other areas during what was a transformational 2024, which saw the acceptance of our COVID-19 BLA by the US FDA, for which we have an action date in April of this year. The launch of our '24-'25 season updated COVID-19 vaccine in August. Novavax successfully operationalizing our partnership with Sanofi, which enabled them last month to assume lead commercial responsibilities for our COVID-19 vaccine beginning with the '25- '26 vaccination season. The initiation of an initial cohort of our COVID-19 influenza combination vaccine and standalone influenza vaccine Phase 3 trial. The addition of a new Head of R&D and the identification of four new early-stage assets for our emerging organic portfolio, including programs focused on C. Diff, varicella-zoster virus, pandemic flu and the triple RSV combination. And finally, we made continued and significant progress in improving Novavax's financial strength. Examples include the sale of our Czech Republic manufacturing facility for $200 million, and in the process, reducing our go-forward annual operating costs by approximately $80 million. Significantly decreasing our current liabilities by $1.3 billion over the last two years and significantly reducing our combined R&D and SG&A expenses so that we are well-positioned to achieve our goal of decreasing our expenses by approximately 85% by 2027 as compared to our 2022 baseline. With this significant progress, we have positioned Novavax well to execute on our corporate growth strategy. And with this new strategy in-place, we have reshaped our company mission to be in-line with this future direction. It states, by leveraging our science, our technology and our people, we will innovate and collaborate to tackle the world's most significant health challenges. We have also aligned our company vision, which reinforces our belief in the impact our technology can and should have. We envision a world where our technology is amplified to touch the lives of billions sparking transformation in global health. Together, our management team and employees are united in our commitment to this strategy. And in our belief that expanding access to and the utility of our proven tech platform via R&D innovation, organic portfolio expansion and enhanced partnering and collaborations with other companies can truly help us to fulfill our mission and ultimately our vision for what Novavax can achieve and become as a company. And with our new growth strategy, renewed, mission and vision, we have developed a clear pathway to how we will strive to positively impact global health and achieve value for all of our stakeholders in 2025 and beyond. We believe that our new strategy has the potential to drive Novavax to profitability as early as 2027. Assuming execution of our plans and timely execution by our partners, particularly Sanofi. Jim Kelly will touch on this more during his portion of our prepared remarks. Upon reaching our planned steady-state operating model, we expect to continue funding our R&D pipeline through organic cash flows from executed transactions to thus produce additional early-stage assets for out-licensing and partnering to further increase profitability and cash-flow. Between now and then, there are several near-term catalysts you can look for to signal progress. The April PDUFA date for our BLA and assuming BLA approval, the associated MAH transfer for our COVID-19 vaccine to Sanofi, generating $225 million in milestone payments combined. Advancement of Sanofi's own COVID influenza combination vaccine candidates, which include Novavax's COVID-19 vaccine, thereby setting up opportunities for additional milestone and royalty payments. Data readout from the initial cohort of our Phase 3 CIC and standalone flu trial by midyear. Preclinical data from our early-stage pipeline programs in the second half of this year. We plan on hosting an Investor Day in the second half of 2025 and announcement of additional partnerships and collaborations. While we can't give specific projections around timing or the nature of any new potential deals or partnerships, our team is actively working to seek new partners and to expand the level of interest in our technology platform. And also, and finally, look for further cost reduction efforts and initiatives from our team. Please turn to Slide 6. As we continue with our commitment to positively impact global health, while delivering value for our shareholders. We have set three strategic priorities for the year. As an evolution of our previous value drivers, these will guide our work through 2025. Our first priority is to be a partner of choice and in the process, increase access to our existing COVID-19 vaccine as well as our Matrix-M adjuvant and our emerging pipeline assets with the goal of growing revenue and continuing to improve the long-term financial strength of Novavax through royalties and milestones. We intend to optimize our existing partnerships with a focus on mutual value-creation. Our license and collaboration agreement with Sanofi set a new bar for what is possible with this strategy and further solidified the credibility of our proven tech platform. The partnership combines Novavax's proprietary protein and nanoparticle technologies, Matrix-M Adjuvant and our R&D expertise with Sanofi's world-class leadership in launching and commercializing innovative vaccines. As a reminder, in 2024, we received an initial cash payment of $500 million upfront and an approximately $70 million equity investment in Novavax. Sanofi is taking the lead commercialization role for our COVID-19 vaccine starting this year, enabling us to monetize our existing vaccine program through potential milestones and royalties and to significantly reduce our operating expenses that were related to leading prior commercial efforts. In addition to the royalties and remaining milestones related to our COVID-19 vaccine, we believe that Sanofi has a strong desire to leverage the power of our proven technology. And we are eligible to receive additional milestone payments as well as additional revenue streams from royalties related to other vaccines developed by Sanofi in combination with our existing COVID-19 product.
Fluzone High-Dose: Sanofi has broad non-exclusive access to Matrix-M and Novavax is eligible to receive up to $200 million in launch and sales milestones and mid-single-digit sales royalties for 20 years for each new product Sanofi may choose to develop using our Matrix-M adjuvant, above and beyond anything they may do with our COVID-19 vaccine as noted earlier. Sanofi's strong global presence and proven track record in developing and commercializing vaccines. Combined with Novavax's R&D expertise has created the potential for this partnership to drive significant value for years to come, both for our shareholders and the people who would have broadened access to our vaccine technology and the protection it can provide. As part of our new strategy, we intend to enter additional new partnerships with the goal of further increasing access to our tech and benefiting global health, which is in line with our new mission and vision for Novavax. Therefore, our second strategic priority is to leverage our technology platform and pipeline to forge additional partnerships. Our proven protein based nanoparticle technology and our Matrix-M adjuvant have the potential to facilitate the development of new best-in-class vaccines or to improve existing vaccines. With the potential for enhanced durability of protection, greater immune response and/or reduced COGS. In addition, our new early-stage pipeline is intended to create additional assets that we intend to partner and out-license at early proof-of-concept stages, optimizing our R&D investment and creating additional opportunities for new collaborations and partnerships in addition to what our tech platform alone could provide. Our existing collaboration with Sanofi and preclinical evaluation agreements with other organizations highlight a significant interest in Matrix-M. We intend to continue to seek opportunities to leverage Matrix-M via partnerships and collaborations. Our late-stage programs include a COVID influenza combination vaccine candidate as well as a standalone influenza vaccine candidate, both targeted for adults 65 years of age and older. We know that significant market demand exists for a combination vaccine with greater than 60% of consumers stating a preference for an all-in-one option. We expect data by midyear from the initial cohort of our Phase 3 trial, which began in December. Consistent with our new corporate strategy, we plan to stage gate additional investment in this program beyond the completion of this initial cohort and ongoing regulatory interactions until a partner is in place. With the expectation that the partner will fully fund any additional clinical investments in these programs. Finally, our third strategic priority is to advance our technology platform and early-stage pipeline with a focus on a lean capital-efficient approach and with the intent to partner early-stage assets at proof-of-concept, allowing our partners to carry those assets forward through full clinical development and commercialization. We are actively advancing our pipeline of early-stage programs focusing on high-value assets in areas of significant unmet medical need, compelling scientific rationale and strong commercial potential. With that in mind, we are continuing to expand our pipeline with the addition of four new early-stage programs that Ruxandra will touch on in a moment. As we laid out last quarter, we intend to take a disciplined and capital efficient approach as we make smart investments and expand our pipeline. In summary, our corporate growth strategy allows Novavax to focus on what we do best leveraging our scientific expertise and our proven technology platform to drive value through R&D and through partnerships. Novavax is well positioned to expand access to our technology, deliver transformative advancements for global health and deliver value for all stakeholders. I'd now like to turn the call to Ruxandra to discuss our research and development updates. Ruxandra?
Ruxandra Draghia-Akli: Thank you, John. Please turn to Slide 7. Good morning. I'm Ruxandra Draghia, Novavax's new Head of R&D and I'm very excited to be participating in my first earnings call as a member of our executive team. I made the decision to join the company in November 2024 because I see so much potential in our technology, as I'll be elaborating further in my remarks. As John said earlier, we are at a defining moment in the company's history, reshaping our strategic plan to focus on driving value through innovation and building out a new robust R&D portfolio and via partnerships and collaboration with other organizations. Regarding R&D and our new focus in this area, we just announced last month under my leadership, the addition of four new early-stage programs. We have also initiated development work on novel Matrix formulation with the potential to further differentiate and take us into new therapeutic areas and potentially improve next-generation vaccines. Our focus on R&D cost-effective innovation, early partnering and leveraging our technology with a goal of positively impacting the health and well-being of people around the globe is what brought me to Novovax. And now I would like to share some specifics on where we are and where we are going. Please turn to Slide 8. H5N1 Avian influenza continues to command attention from public health officials, the greater medical community and the public at large. While human-to-human transmission has not been documented to-date from the strains currently circulating in animal populations, infections and illness in humans have resulted from exposure to infected birds and dairy cows with recent reports of transmission to domestic cats. During this current outbreak, H5N1 virus has infected more than 70 persons in the United States and Canada and accounted for one death. We have developed a protein nanoparticle and Matrix-M vaccine against highly pathogenic H5N1 virus that is currently undergoing preclinical evaluation. Non-human primate studies have shown our candidate pandemic vaccine can produce protective levels of immunity after a single dose. Other vaccine platforms may require more than one dose to achieve protected levels in equally prime population. In a pandemic with a dangerous pathogen, that factor alone may make our protein based Matrix-M adjuvated vaccine an important option. The preclinical data supporting advancing our H5N1 vaccine into the clinic are currently in review of a major scientific journal. Using the same technology platform, we are assessing our vaccine effectiveness against other influenza strains in an effort to establish the capacity to quickly pivot to creating vaccines against new strains as they emerge. We stand ready to join pandemic preparedness efforts and are currently pursuing funding and partnership opportunities. Our early-stage pipeline also includes development of an RSV combination vaccine candidate that will build on the company's extensive history in this area. Lessons learned regarding superior protein antigen design, together with new computational artificial intelligence machine learning capabilities should allow us to enhance structural stability and immunogenicity and combine multiple different respiratory virus antigens with Matrix-M into the program creating a competitive meaningful and differentiated offering in this key area. One of our goals is to advance the science of respiratory virus vaccines by providing multivalent durable protection for the millions who experienced severe respiratory illness throughout the year. Our other infectious disease vaccine targets are shingles and C. Diff. For shingles prevention, we believe our technology has the potential to improve on the current standard-of-care by enabling a more tolerable, less reactogenic equally efficacious vaccine. Many at-risk adults are declining shingles protection or don't complete their vaccination series because of the fear of side effects. By providing the more attractive options, which we believe our technology has the potential to do, we intend to change this dynamic and address a persistent public health need. We believe our technology may lead to better vaccine candidates for the prevention of C. difficile morbidity and mortality. There is no approved vaccine for C. Diff, yet the medical need is large with C. Diff related illness, including recurrent infections accounting for approximately $5 billion to $6 billion in annual US healthcare costs. Our technology has the potential to facilitate the development of a multivalent adjuvated vaccine with enhanced activity. And the potential to deliver a differentiated impact in an underserved patient population. For each of the early pipeline vaccine candidates I've discussed, we expect to share initial data and early learnings in the second half of the year. I would like to discuss our ongoing exploratory science with respect to our Matrix-M adjuvant. We believe that Matrix-M can play an even greater role in the future and we are seeking to explore how newer formulations, different regimens and doses schedules and other enhancements can lead to improved vaccines, targeted approaches and advancement in therapeutic areas beyond infectious diseases. We are currently developing research partnerships and collaborations in Immuno-oncology, a field that is rapidly progressive and one where we envision exciting potential opportunities for our technology. By taking targeted steps to employ validated translational models and to leverage AI and machine-learning approaches where it makes sense, we hope to identify specific areas where Matrix-M is currently formulated or as a next-generation formulation could improve rates and duration of anti-tumor responses. We look forward to sharing preliminary data with you later this year. Turning now to our late-stage pipeline, comprised of our COVID influenza combination or CIC vaccine and seasonal influenza vaccine program. We issued a press release in December announcing the dosing of an initial cohort of approximately 2,000 participants had begun in our Phase 3 safety and immunogenicity trial. Enrollment of this initial cohort in this study is complete and topline data are expected midyear. Our intent is to partner the program and we believe that additional positive comparative immunogenicity results if achieved and expanded safety database contributed by this cohort should facilitate those interactions. In summary, my first priority when I joined the company was to identify the most exciting potential candidates and bring them forward into the pipeline, which we've done. Now with an intense focus on science and readiness for partnering, we intend to advance and optimize our programs and generate initial proof-of-concept in preclinical evaluation. I couldn't be more excited about the work ahead, the opportunity to keep you abreast of our developments and our plans to share with you some of our first data readouts in the second half of this year. Thank you. And I'll turn now it over to John Trizzino for an operating update.
John Trizzino: Thank you, Ruxandra. Please turn to Slide 9. We are pleased with all the progress we made in our COVID-19 vaccine program during the 2024-2025 season and are excited about our partnership with Sanofi as they assume lead commercial responsibility beginning with the '25-'26 vaccination season. We continue to work closely with them on a seamless transition to their leadership of our co-commercialization activities for Nuvaxovid and believe that we have laid a solid foundation for our partners to increase access to the vaccine in seasons to come. This in-turn allows us to focus on winding down our commercial infrastructure and reduce expenses to align with our corporate strategy. We could not have asked for a better partner with Sanofi's vast resources and deep knowledge in developing and commercializing vaccines. For this year, Sanofi has stated they will use 2025 as a learning year to understand COVID-19 market behaviors. And they believe there is further opportunity for Nuvaxovid with the COVID-19 market given its tolerability profile.
Fluzone High-Dose: If successful, these assets have the potential for future milestone payments and royalties to Novavax. As we move into 2025, our near-term potential milestone payments include our COVID-19 BLA approval, which has a PDUFA date in April and transfer of COVID-19 market authorizations for the US and EU later in 2025. These milestones account for a combined total of $225 million in potential payments. In summary, we believe there remains a continued demand for COVID-19 vaccines and are excited about our partnership with Sanofi. We believe that Sanofi, a market leader with its large commercial infrastructure and expertise will be able to drive additional market share in 2025 and beyond. With that I'd like to hand the call to Jim to discuss our financial results for the quarter.
Jim Kelly: All right. Thank you, John. Please turn to Slide 10. This morning, we announced our financial results for the fourth quarter and full year 2024. Details of our results can be found in our press release issued today and in our Form 10-K filing. Please turn to Slide 11. Before reviewing our financial results, I would like to first discuss Novavax's path to significant value creation and profitability. Our business plan is designed to deliver profitability supported by a potential Sanofi CIC launch as early as 2027. Our plan includes revenues supported by the existing Sanofi agreement execution, including the commercialization of the Sanofi CIC program plus new business development deals and partnerships to drive cash flow. On the expense side, we plan to further reduce R&D plus SG&A expenses down to a lean core spend profile of $250 million by 2027 and we expect this will position us well to enable efficient value creation and capital independence. We are acting with urgency to both drive value from our innovative technology platform and fully describe for investors the shape of our business over the coming years. Keys to the timing on our path to profitability are the successful development and regulatory approval of the Sanofi CIC program and successful commercial execution by Sanofi on both the COVID and CIC programs. We define profitability as GAAP operating profit, less non-cash items such as stock-based compensation and depreciation. Our expected breakeven revenue for 2027 is approximately $225 million. We estimate this breakeven amount by starting with our target of approximately $250 million for R&D plus SG&A spend in 2027 and then adjust to remove $25 million in expected non-cash items. As a reminder, the CIC launch milestone is $225 million and its achievement would allow us to realize this goal. Breakeven sales from Sanofi on COVID and CIC of over $1 billion and $2.5 billion respectively where a combination of each could achieve the same result via royalties to Novavax. As noted the achievement and timing of each are the key to enable our path to profitability. This could be further supported by our expectation that we will add additional cash flow from new business development agreements. A few guiding principles related to our $250 million core spend profile include the expectations That we would only invest beyond this amount if we are being reimbursed by others or established a cash runway to enable efficient value creation and had exceptional data for a program that supported greater investment. We expect to achieve significant revenues and cash flows from our Sanofi agreement. However, since we're reliant on Sanofi's forecast, we're unable to provide guidance for 2025 related to Sanofi's COVID royalties and CIC milestones and these would be additive to our 2025 revenue framework we're sharing today. Please turn to Slide 12. A few comments about 2025 and its importance as a transition year for Novavax. From a financial statement perspective, you'll see our revenue line change as we increase emphasis on licensing and royalty revenue from partners and pursue potential grant revenue opportunities as we decrease emphasis on product sales. Our operating expenses are expected to decrease significantly as we eliminate the cost and complexity associated with global commercialization activities and focus on key value producing R&D programs. For 2025, these R&D activities primarily include the completion of our CIC flu investment towards partnering and support for Sanofi's clinical and commercial activities. In addition, we will begin targeting investments in our early-stage programs. During 2025, look for a number of important updates and catalysts that track our progress. From Sanofi, these include preparations for commercializing Nuvaxovid, the US BLA action and advancement of the two Sanofi CIC development programs. We expect to share the status towards achievement of $225 million in anticipated milestones under the Sanofi agreement. For the Novavax CIC flu program, we expect initial study cohort results by midyear. We will also keep you abreast of the latest business development activities as we continue to create value from our technology. As demonstrated in 2024, these BD related announcements can come at any time and we are engaged with the key industry vaccine players on this front. And finally, we are planning for an Investor Day in the second half of 2025 to share important updates from our early-stage programs. Please turn to Slide 13. I will begin with key highlights from our full year 2024 financial results. Novavax reported total revenue of $682 million. Of this, US and European sales were the primary contributors to our $190 million of product sales. In addition, we recorded $492 million from licensing, royalties and other revenue. During 2024, as we continued to transform Novavax into a more lean organization, we both strengthened our balance sheet by reducing our current liabilities by approximately $500 million and improved our cost structure by reducing full year 2024 R&D plus SG&A cost by 40% compared to full year 2023. For 2025, we're targeting to further reduce R&D and SG&A expenses by another 30% at the midpoint and are guiding to spend of between $475 million to $525 million. Importantly, we have successfully executed on actions that will reduce our go-forward operating expenses by over $250 million compared to 2024 related to both the transition of commercial lead responsibilities to Sanofi beginning in January 2025 and the sale of our Czech Republic manufacturing facility at the end of 2024. We ended 2024 with over $1 billion in cash and receivables that benefited from the $200 million sale of the Czech Republic facility to Novo Nordisk. In addition, and in the fourth quarter, we earned a $50 million milestone under the Sanofi agreement that we expect to receive in the first quarter of 2025. Please turn to Slide 14 for a more detailed review of our fourth quarter and full year financial results. For the fourth quarter of 2024, we recorded total revenue of $88 million compared to $291 million in the same period in 2023, and these total revenue results were in line with our expectations. Product sales for the fourth quarter of 2024 were $50 million with the majority coming from the US market. Fourth quarter 2024 combined R&D and SG&A expenses were $183 million and reflect a 43% reduction from the same period in 2023. These reductions are accelerating. And based on this, we believe we're on track to further reduce our cost structure in 2025 and beyond. A key addition to our fourth quarter results was the $52 million gain related to the sale of our Czech Republic manufacturing facility that closed in December. As a result, our fourth quarter loss of $81 million reflects an almost $100 million improvement compared to the prior year. Please turn to Slide 15. We are committed to streamlining our operating expenses to enable value creation. We are targeting a $1.5 billion and an 85% reduction to R&D plus SG&A expenses by 2027 when compared to 2022. With the achievement of $1 billion of this reduction through 2024, we are well on our way to achieving this goal. For 2025, we expect our R&D plus SG&A to be between $475 million and $525 million and intend to invest approximately 70% of this spend in R&D to drive shareholder value as we allocate our resources against the highest return activities. The majority of our 2025 R&D expense relates to the completion of our investment in the CIC and flu program towards partnering and supporting the Sanofi agreement. A smaller portion of this spend is presently directed towards our early-stage preclinical programs. Compared to 2024 and beginning in 2025, we anticipate a greater than $250 million improvement in our operating cost structure, resulting from over $170 million in savings from the transition of lead commercial activities to Sanofi and approximately $80 million in savings from the sale of our Czech Republic manufacturing facilities. Please turn to Slide 16. Since 2022, we've made significant progress towards reducing Novavax's current liabilities by $1.3 billion and over 50%. In 2024 alone, we decreased current liabilities by $481 million. We are highlighting the status of our current liabilities, excluding deferred revenue as this results in a balance of less than $500 million at year end 2024, a decrease of over $900 million. We share this sensitivity analysis as the vast majority of deferred revenue has limited cash flow implications and further reinforces the significant improvement achieved over the past 24 months that has us well positioned as we enter 2025. Please turn to Slide 17. Now turning to our 2025 revenue framework. I'll start by reinforcing that our 2025 revenue framework currently excludes Sanofi royalties, Sanofi CIC and Matrix-M related milestones and Nuvaxovid product sales at this time. This means there may be revenues in 2025 that are additive to our expectations for adjusted licensing, royalties and other revenue. We expect our adjusted full year 2025 licensing royalties and other revenue to be between $300 million and $350 million. This includes the following components and contributions. A $175 million milestone to be earned upon the approval of the COVID-19 BLA, which has a PDUFA date in April. Two separate $25 million milestones to be earned upon the transfer on the marketing authorizations for the US and EU markets. $15 million in revenue recognition related to the earned COVID-19 pediatric database lock milestone achieved in the fourth quarter of 2024. $35 million in revenue recognition related to the Sanofi agreement upfront payment received in 2024. $25 million to $50 million in cost reimbursement from Sanofi related to select R&D and technology transfer activities. And finally $0 million to $25 million in other partner revenue, royalties and adjuvant reimbursement associated with our collaborations with the Serum Institute on R21 and our collaboration partners for COVID-19 vaccine, including the Serum Institute, SK Bio and Takeda. As the year progresses, we will evaluate our ability to update and add more revenue components to the 2025 revenue framework. Please turn to Slide 18. As noted, we expect to create significant value from all the Sanofi related revenue components. I will take a few moments to share more details on three components currently excluded from our 2025 revenue framework. These are Sanofi royalties; two, Sanofi CIC and Matrix-M related milestones; and three Nuvaxovid product sales. First, for Sanofi royalties, Sanofi will initiate lead commercial responsibility for the 2025-2026 vaccination season in select markets, including the US. On the recent earnings call, Sanofi communicated that the upcoming 2025-'26 season will be a learning year. We look forward to supporting Sanofi's 2025 launch and long-term commitment to commercializing our COVID-19 vaccine. As a reminder, Novavax is eligible to receive royalties in the high-teens to low 20% on Sanofi sales. On Sanofi CIC and Matrix related milestones, Novavax is eligible to receive up to $350 million in Phase 3 development and commercial launch milestone payments associated with the Sanofi influenza COVID-19 combination products. In addition, each new vaccine using Matrix-M, Novavax is eligible to receive up to $200 million in launch and sales milestones and a mid-single-digit sales royalty for 20 years. Finally, for Nuvaxovid product sales. During the first half of 2025, Novavax will continue to sell Nuvaxovid in the US as it transitions the market to Sanofi, beginning with the 2025-'26 vaccination season. These sales are expected by Novavax to be immaterial. Nuvaxovid will sell Nuvaxovid commercial supply to Sanofi for the 2025 and 2026 seasons and the reimbursement of this supply will be recorded as product sales. Regarding our APA agreements, Novavax is working to amicably negotiate and deliver doses or when appropriate exit agreements with the goal of these activities to be cash flow neutral or favorable on a go-forward basis. Returning to our discussion of cash and cash flow, based on our current operating plan, including the multiyear expense targets, we have highlighted a path to our goal of maintaining at least a year and a half to two years of cash-on-hand at all times. In addition, today, we have mapped out for investors our view on the path to profitability and value-creation for Novavax. We look forward to sharing additional updates as we seek to improve Novavax's financial performance, cost structure and strength to deliver shareholder value. With that said, I'd like to turn the call back over to John for some closing remarks.
John Jacobs: Thank you, Jim. Please turn to Slide 19. In 2025, we intend to build on our accomplishments from 2024 and drive value through our new corporate growth strategy by focusing on our three strategic priorities. Number one, executing on our Sanofi partnership and in doing so successfully demonstrate that we are a partner of choice. Priority two, leveraging our technology platform and pipeline to forge additional partnerships. Priority three, advancing our technology platform and early-stage pipeline to help foster additional partnering and growth opportunities. In closing, 2025 will be our first year operating under our new growth strategy. Our significant year of transition for Novavax, where we will continue to lower our operating expenses with the goal of making our organization more lean, while executing against our new strategy to drive near and long-term value through existing and potentially new partnerships with other companies through our proven technology platform and through our emerging new early-stage pipeline. This means that we will be generating revenue from milestones and working to build momentum on potential future royalties versus booking sales of our own in the COVID market. The shape of our company will change further. The way we will earn revenue is changing from past years and the way we intend to grow our business in the future will now be based on R&D innovation and partnering for selling one asset in a competitive marketplace. Back to our roots. Back to what we believe we are good at and back to doing what our people love to do. To innovate and help to take on some of the world's biggest health challenges. Thank you all for joining us today and thank you to all of our employees for their continued efforts in advancing our business. I'm proud of our accomplishments to-date and excited about the opportunity to drive future value for our strategy in 2025 and beyond. I'd now like to turn the call over to our operator for Q&A. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] At this time, we will pause momentarily to assemble our roster. Our first question is from Roger Song from Jefferies. Your line is now open.
Roger Song: Great. Thanks team for the update and then taking our question. So two from us. One is for the 2025-2026 COVID season under partnership with Sanofi. How much prep work has been in progress under the new administration, the new HHS Chief, particularly any potential pros and cons as Novavax or Sanofi, the COVID vaccine is the only protein based COVID vaccine. So that's number one. Number two is for the upcoming Phase 3 initial CIC in the flu cohort readout in midyear. What will be considered as a partnerable profile as you are seeking partner after the data? Thank you.
John Jacobs: Roger, let me take your first question and I'll ask for a clarification on the second just to track with you. And thank you for your questions. Good to hear from you, Roger. First of all, we see our vaccine and I think the public does as well as an important differentiated option. And so we're excited to be able to offer a protein based option to US consumers and look forward to continued partnership with Sanofi, which has been strong and going very, very well. And also with the new administration, I think, we share the mutual goal of improving the health of all Americans and we look forward to the coming season in that regard. Roger, would you mind just clarifying your second part of the question for us please?
Roger Song: Yes. So the second question is for the Phase 3, the CIC and flu initial cohort data readout in midyear. What will be considered as the partnerable profile as you're seeking the partner after the data?
John Jacobs: All right. Let me hand that over to Ruxandra Draghia, our new Head of R&D. Ruxandra?
Ruxandra Draghia-Akli: Thank you, Roger, for the question. So this first cohort or that was enrolled in the Phase 3 will provide additional immunogenicity and safety data that would complement the data that we already have available. We do believe that additional data can be used for a better design of the Phase 3 trial and obviously it will contribute to the safety database. That particular profile would be of interest for a potential partner.
Roger Song: Thank you.
Operator: Thank you. Your next question is from Mayank Mamtani from B. Riley Securities. Your line is now open.
Mayank Mamtani: Good morning, team. Thanks for taking our questions and congrats on the progress. So are you able to comment on any recent BLA related interactions with FDA? And to maybe a prior question, any subsequent steps being planned for CDC ACIP as you think about the strain update that would be needed for the '25-'26 season? And what sort of visibility you have on pandemic preparedness resources accessible under the new administration in light of the H5N1 funding news we heard in the last 24 hours? And then I have a follow-up.
John Jacobs: Thank you, Mike. So three questions there. First, progress on BLA. So I'll let John Trizzino handle that one. I believe your second question was on recent news around ACIP. So on that one, it's really wait and see that meeting was postponed. So we're not going to overreact to that at all. Let's see what that means. And these are important meetings and important advisory committees to companies and the USG and we'll look forward to participating in that robustly when the news comes forward that it's back on. John, did you want to handle the BLA question for Mayank?
John Trizzino: Yes, sure. Thanks, John. Hey, Mayank. Look, while we can't comment on specific FDA interactions, what we can say is that we are actively in conversation. It's very positive and very productive and we're moving toward the PDUFA date in April and are looking forward to making it through that process. So I'll leave it there and say that those FDA interactions are all have been very positive and supportive.
John Jacobs: And Mayank you said you had a follow-up question as well.
Mayank Mamtani: Actually, can you comment on the last part of my question on H5N1 funding? Anything there? I know you are working on a publication, I think, Ruxan said. So is the new data in some way helpful in taking that forward? Any thoughts there?
John Jacobs: Yes, I'll let Ruxandra comment. Ruxandra?
Ruxandra Draghia-Akli: So our study in non-human primate was positive. We do have immunogenicity data that is supportive to actually a one dose vaccine on our protein based platform with the Matrix adjuvant. That is very important. We know that other platforms may require multiple administrations of a vaccine in order to provide protection in an equally prime population. In a context of a pandemic, we do believe that if data that was generated in animals could be replicated in humans, that could have a very, very positive outcome. It is too early to say obviously but we are working diligently on that particular program.
John Trizzino: And Mayank we're working to seek government funding toward that. And as an alternative as the only protein based alternative there, at least currently, we think that's an important choice for consumers. So we continue to work with USG to seek funding for that asset.
Mayank Mamtani: Very helpful. And second kind of important theme here is looking forward to your R&D Day update second half of this year. Could you just maybe give us a little bit of a preview on which programs we may get the most updated data from the list that you highlighted earlier? And I'm specifically obviously interested in some of the recent developments we've seen with, for example, E. coli vaccine and not being positive and how you're thinking to address some of the unmet needs both in respiratory and also non-respiratory side of things. Thanks again for taking our question.
John Trizzino: And Mayank, right now, we're in the experimental phase on these products, pre-IND, preclinical. So I think it's important that we hold our powder just a little bit on that and give Ruxandra and our team some time to generate that exciting data. We hope to bring forth as much data as possible and are working to bring a fulsome update on progress across all four programs that we've shared with you in the second half of this year. So as that develops, we'll let you know more. We do appreciate your interest and excitement. I have to tell you our team internally, our scientists, our entire company are very excited about what we're starting to work on here in the new portfolio. Thank you.
Operator: Thank you. Your next question is from Chris [Blanco] (ph) from TD Cowen. Your line is now open.
Unidentified Analyst: Thank you. We have two questions. First, in what ways could the official FDA label for your COVID vaccine differ from the current EUA fact sheet? You expect to have a warning for pericarditis and myocarditis in the official label?And second has Sanofi provided Novavax with Sanofi's initial internal estimates for COVID-19 vaccine sales in 2025? Thank you.
John Jacobs: So Chris I'll take the second question and then give John Trizzino your first question. Sanofi is not projecting sales right now. And so if we did have information on that internally, we won't share that. They're not projecting that publicly, but we're excited to have it in Sanofi's hands. They're a global leader in vaccine commercialization and we're very excited to see what they can do with our product this season and forward. John, did you want to take Chris' other question?
John Trizzino: Yes. Again, we can't talk about specific interactions with FDA but and then certainly we can't talk about what is going to be on or not on the label as we're still in conversations with FDA about the BLA. And then also remember that we have to go through a strain change process and we're dependent upon the VRBPAC meeting to occur in a timely fashion to give us some guidance there. We are under active surveillance of circulating strains. But there is yet some decision making to be done. So not anticipating anything significant changing to the label other than whatever the decisions are made regarding strain for the '25-'26 season.
John Jacobs: Operator, next question?
Operator: Your next question is from Alec Stranahan from Bank of America. Your line is now open.
Alec Stranahan: Hey, guys. Thanks for taking our questions. Just two from us. First, on plans to partner the CIC and flu for future development. Just to clarify that the expectation here now is an additional Phase 3 will be required and that you partner ahead of that study? And any color on flexibility here on partnerships since it shares the COVID component with Sanofi? And then just maybe one for Ruxandra on the new early pipeline assets. Curious if you could elaborate on the new RSV program. Is this maybe based on your prior RSV asset or is it maybe leveraging a different approach given more recent learnings in the field. Maybe you could just expand on that a little bit? Thank you.
John Trizzino: Hi, Alec. Thank you for the question. Regarding CIC, I think, as Ruxandra was saying, we're looking forward to the data readout on our initial cohort, which will help further inform next steps from a clinical development perspective. And then we're seeking a partner to take on that funding and development all through to full commercialization, which is in line with our new corporate strategy to out-license assets, technology, create new partnerships and collaborations to drive value. Ruxandra, let you comment on our RSV combination.
Ruxandra Draghia-Akli: So as far as our RSV combination, we are leveraging both the lessons learned from the past and the new AI machine-learning computational resources that will allow us to enhance the structural stability to better look at immunogenicity and to combine multiple versions of the different pathogens in order to actually come up with a combination that is meaningful for the patients and to tackle the unmet medical needs. So it isn't just a plug and play with what was done in the past, but it's really taking all those lessons learned and coming up with a much better product.
John Jacobs: Thank you, Ruxandra. And John Trizzino has some additional commentary.
John Trizzino: Yes, just to add a little bit, right, Rux being new to the organization and assessing all of our pipeline activities here. Absolutely right. This is just not a redo of something in the past. You might be making reference to kind of our prior RSV programs. Changes to the antigen construct are embedded in this new program. The addition of Matrix to the program. And as Rux said all of the lessons learned from the COVID program during the pandemic, I think, put us on a significantly better and improved path with RSV in addition to the fact that it's now would be a combo, which is another differentiating and significantly important to the commercial market and unmet medical need. Thanks.
John Jacobs: Thank you. Appreciate the questions.
Operator: Thank you. Your next question is from Eric Joseph from JPMorgan. Your line is now open.
Eric Joseph: Thanks. Good morning. Just a follow-up question on the CIC program. Can you talk about what your latest outlook is with respect to regulatory requirements or what needs to be satisfied for the purposes of approval, even though it would be in the hands of a potential partner. Is the expectation that immunogenicity would be satisfactory for approval or do you anticipate efficacy being a requirement here? And to what extent is the initial cohort or the readout from the initial cohort midyear to serve as a means to get for additional regulatory interaction and getting a feedback on that point? Thank you.
John Jacobs: Thank you. Good to hear from you, Eric. And obviously we're still working with the regulatory authorities on the pathway forward. To your point, that data will be informative into that process. And as we continue to work through with them to a final conclusion, we'll communicate that appropriately.
Eric Joseph: Okay, great. Thanks for taking the question.
Operator: Thank you. And your last question is from Vernon Bernardino from H.C. Wainwright. Your line is now open.
Vernon Bernardino: Hi, and good morning, everyone. Thanks for taking my question and congratulations on progress with operational efficiency. Regarding the strain change in composition of the seasonal flu vaccine for the 2025-2026 season, there's a view that the flu vaccine for the 2024-2025 season wasn't particularly effective. Given what we've seen so far, can you comment on perhaps what you think if there's any changes and perhaps strategies on the composition of the seasonal flu vaccine for the 2025-'26 season and the Phase 3 part of the CIC program. Thank you.
John Jacobs: Bob, Ruxandra, would you like to take that one from Vernon?
Robert Walker: Hi. Thanks, John. Hi, Vernon. We have no current plans to extend the Phase 3 beyond the initial cohort that you heard about already. So influenza strains for the upcoming season. We're obviously tracking that. And once if and when we identify a partner, that may become more relevant. And of course will align with the public health authorities, whether those be US, WHO et cetera in terms of strain selection.
Vernon Bernardino: Great. And how like, as a follow-up, do you think manufacturers can wait for the strain selection before perhaps manufacturing a flu vaccine at-risk might need to occur.
John Trizzino: Thank you for the question, Vernon. We're not going to speculate on that at this time. And obviously we don't have a commercialized flu vaccine either. So better not to speculate. Let's wait and see how things play out here go forward.
Vernon Bernardino: Okay. Thanks, John, and congrats everyone. Thanks for taking my question.
John Jacobs: Thank you. Good to hear from you, Vernon.
Vernon Bernardino: Same here.
Operator: Thank you. That concludes our question-and-answer session for today. I will now turn the call back to the management for closing remarks.
John Jacobs: Thank you for joining our call today everyone. Have a great close to the week.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.